Operator: Ladies and gentlemen, thank you for standing by and welcome to the Silk Road Medical's Second Quarter 2020 Earnings Conference Call. At this time all participants lines are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] I would now like to hand the conference over to your speaker today. Thank you, Caroline Paul, Investor Relations. Please go ahead.
Caroline Paul: Thank you, and, thank you all for participating in today's call. Joining me are Erica Rogers, Chief Executive Officer and Lucas Buchanan, Chief Financial Officer. Earlier today, Silk Road Medical released financial results for the quarter ended June 30, 2020. A copy of the press release is available on the company's website. Before we begin, I'd like to remind you that management will make statements during this call that include forward-looking statements within the meaning of federal securities laws, which are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Any statements contained in this call that relate to expectations and predictions of future events, results or performance are forward-looking statements. All forward-looking statements, including without limitation those relating to our operating trends and future financial performance, the impact of COVID-19 on our business and prospects for recovery, expense management, expectations for hiring, physician training, growth in our organization and reimbursement, market opportunity, guidance for revenue, gross margin, and operating expenses in 2020, commercial expansion, legal expansion and product pipeline development are based upon our current estimates and various assumptions. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated or implied by these forward-looking statements. Accordingly, you should not place undue reliance on these statements. For a list and description of the risks and uncertainties associated with our business, please refer to the Risk Factors section of our quarterly report on Form 10-Q filed with the Securities and Exchange Commission on May 15, 2020. This conference call contains time sensitive information and is accurate only as of the live broadcast today, August 5, 2020. Silk Road Medical disclaims any intention or obligation, except as required by law, to update or revise any financial projections or forward-looking statements, whether because of new information, future events or otherwise. And with that, I will turn the call over to Erica.
Erica Rogers: Thanks, Caroline. Good afternoon everyone and thank you for joining us for Silk Road Medical's second quarter earnings call. Joining me is Lucas Buchanan, our Chief Financial Officer. I would like to again start our call by thanking those in the medical community, who remain committed to helping patients throughout the recent COVID-19 outbreaks. Those on the front lines continue to put others first and impress us with their creative determination to keep our healthcare system functioning for all who need it. Thank you. Turning to our quarterly results. Despite many challenges posed by the pandemic, we had a solid second quarter with many accomplishments. Our performance is a testament to the resiliency of our team at Silk Road and is driven by our clinical outcomes, strong commercial strategy and the underlying severity of carotid artery disease. We are pushing ahead initiatives to further penetrate and broaden our market opportunity and we are increasingly confident in the strength of our platform and ability to change the standard-of-care in carotid artery disease. Before I touch on progress toward our longer-term initiatives, I would like to provide some additional color on our recent performance. Total revenue for the second quarter was roughly $15 million, reflecting growth of 1% year-over-year. Excluding the recognition of $1.3 million in deferred revenue in the quarter, which Lucas will address in his remarks. Second quarter revenue declined 8%, compared to the same period of the prior year. With respect to US procedure volume, as expected we experienced a trough in April and then improvement through the quarter with approximately 385 procedures in April, 685 in May and 900 in June, for a total just shy of 2,000 procedures in the second quarter. While this trend is certainly encouraging, we are aware of the lingering regional variability that has impacted provider and patient behavior in July, and into the early days of August. From what we observed in the latter part of the second quarter into early days of the third quarter, there has been a judicious use of hospital resources in the hardest hit areas and overall. And while volumes are below what we would typically expect, procedures are continuing at a steady pace. We are cautiously optimistic as we think about the second half of the year, acknowledging both the strength and procedure volumes and ramp in June, compared to the trough in April, as well as the many unknowns ahead. Despite these unknowns, our collective team members are supporting our physicians and creative and [indiscernible] still highlighting clinical outcomes and efficiency benefits of TCAR, which are ever important in today's environment. Also encouraging, is that the practice of medicine related to vascular disorders including carotid artery disease is benefiting from the recent emphasis on telehealth. An example of this comes from one of our physician partners Dr. Scott Berman of PIMA Heart and Vascular, who is innovating to engage with his carotid patients and to continue providing the best possible care in the current environment. Counter to typical physician workflows for TCAR, Dr. Berman has been conducting many of his visits with patients remotely. He begins the telehealth process pre-operatively once an ultrasound or CTA are ordered for suspected carotid artery disease and continues utilizing telehealth throughout the care delivery process, culminating with virtual follow-up visits. During his telehealth visit, he can easily explain the disease, the risk of stroke and the treatment options, which for Dr. Berman are TCAR or CEA. He often utilizes materials provided by Silk Road to educate patients on the less invasive advantages of TCAR, carefully engaging with patients over the video monitor as they determine a treatment plan. After the TCAR procedure, Dr. Berman finds that follow-up telehealth interactions are often easier for patients, and he is able to provide even more careful oversight on post-operative recovery. In addition, the important follow-up data points required to be entered into the vascular quality initiative registry can be gathered in a timely manner with telehealth. For Dr. Berman, this represents a more efficient way to continue to monitor the hundreds of patients he has under observation for carotid disease. The pandemic has accelerated the removal of some of the barriers to telehealth, which in his view has improved the overall efficiency of vascular medicine. While we know many patients and physicians will always prefer in-person visits, Dr. Berman exemplifies how physicians are rising to the occasion to ensure carotid patients receive the care they need. We will continue to evolve and look for additional opportunities to support our partners with TCAR adoption and provide the best care for their patients. Moving now to the long-term and the enduring aspects of our value proposition. We are continually reminded that carotid artery disease is a chronic progressive disease that typically worsens steadily over time. Our team is committed to monitoring this pipeline of patients and supporting TCAR procedures in any environment, to ensure the best possible patient outcomes. With that in mind, our vision remains very much intact. We are progressing forward with our three strategic priorities that we previously outlined for 2020. As a reminder, these are US commercial execution, identifying a path forward for label expansion and coverage for the standard surgical-risk patient population and further pipeline development. With respect to our first strategic priority, US commercial execution, we remain focused on our large untapped market opportunity to drive TCAR penetration in high surgical risk patients through increased physician utilization, while expanding our base of sales territories, hospital accounts and trained physicians. We are continuing to add to our talented commercial team and expect to end 2020 with 40 to 45 area sales managers, up from 35 at the beginning of the year. We are also excited to have recently announced the promotion of Andy Davis, who now has an expanded role, as our Chief Commercial Officer. Andy has played a critical role in our success to-date in driving TCAR adoption across the US, and he is expanding his focus to our global commercial execution and pipeline development. With respect to physician training, we were fortunate to train a large number of physicians in 2019 and in the first quarter of 2020. And we continue to focus on moving already trained physicians up the adoption curve. Although the pandemic significantly affected our previous second quarter training goals by severely limiting travel to our centralized training program, we are pleased net physician demand for certification has not waned. We have quickly met this demand by training physicians in new and innovative ways, including virtually and in smaller socially distance formats and through proctoring. We believe these new methods will allow us to continue certifying new physicians going forward at a higher rate, than we experienced in the second quarter. Additionally, we were also pleased to see that our comprehensive training program and methods are consistent with the recently established and published TCAR training guidelines from the Society of Vascular Surgery. Moving to our second key priority, broadening the indication for the ENROUTE stent to standard surgical risk patients and expanding Medicare reimbursement. We have made significant progress over the past few months and continue to have collaborative discussions with the FDA, and we think our colleagues at the FDA for soldering on through this pandemic. Although we still do not have any details to share, we have incrementally more confidence in our ability to delineate our strategy later this year. Finally, our third priority is focused on continued pipeline development. We consider our sales experts on carotid access and neuro-protection and we remain committed to leveraging these core competencies and our broad intellectual property platform. Innovation is fundamental to our culture, and we have maintained our investments in additional and next-generation products to meet the evolving needs of physicians and their patients. We are looking forward to shedding additional light on our pipeline progress by the end of the year. In summary, we are making meaningful headway on the priorities we outlined for 2020, and we are continuing with planned investments to drive durable, long-term growth. We strengthened our balance sheet in May providing ample capital to execute on each of these initiatives, and we are marching forward on our journey to change the standard-of-care. We remain confident that Silk Road is well positioned to weather the duration of the pandemic impact and is poised for long-term success. I will now turn the call to our Chief Financial Officer, Lucas Buchanan to review our second quarter performance.
Lucas Buchanan: Thank you, Erica. Revenue for the three months ended June 30, 2020 was $15.1 million a 1% increase from $14.9 million in the same period of the prior year. These results include the recognition of $1.3 million in deferred revenue due to a decrease in the provision for sales returns related to certain prior sales with a shorter shelf life, coupled with a downward trend in our historical return rate. We do not expect future potential decreases in the sales return provision to materially impact subsequent quarters. Excluding the contribution of the $1.3 million, second quarter revenue declined 8%, compared to the same period of the prior year. There were approximately 1,970 TCAR procedures performed in the second quarter of 2020, representing a 2% decline, compared to the same prior year period. As we have previously discussed, total procedures improved from approximately 383 in April to 900 procedures performed in June, highlighting the relatively quick recovery and ability to recapture many of the deferred procedures intra-quarter. Small portion of previously scheduled second quarter procedures were rescheduled into the third quarter and we estimate that during the scope of the pandemic thus far, our physician base has collectively lost about 5% to 10% of previously scheduled patients that may or may not return for a procedure in future periods. Gross margin for the second quarter of 2020 was 65%, as compared to 75% in the corresponding prior year period. Gross margin decline was largely driven by unfavorable production variances as a result of temporarily idled manufacturing operations and lower demand, partially offset by the decrease in the provision for sales returns. Total operating expenses for the second quarter of 2020 were $19.2 million, an 11% increase from $17.2 million in the second quarter of 2019. R&D expenses for the second quarter of 2020 were $3.4 million, compared to $3.1 million in the second quarter of 2019. The increase was primarily driven by an increase in personnel-related expenses. Sales, general and administrative expenses for the second quarter of 2020 were $15.8 million, compared to $14.1 million in the second quarter of 2019. The increase was primarily attributable to expenses related to growth in our commercial team and marketing efforts, as well as costs associated with being a public company. Expense growth was modulated by cost control initiatives in the natural reduction in travel, trade show and other expenses due to the COVID-19 pandemic. Net loss for the period was $10.4 million or a loss of $0.32 per share, as compared to a net loss of $12 million or a loss of $0.42 per share for the same period of the prior year. Net loss for the second quarter of 2019 included a $5.3 million non-cash charge resulting from the remeasurement of the fair value of our convertible preferred stock warrant liability. We ended the second quarter of 2020 with $157.9 million of cash, cash equivalents and short-term investments, which includes approximately $70.5 million in net proceeds from the follow-on offering in May. Turning to our outlook for 2020, we remain unable to provide guidance given the lack of visibility on the duration, severity and geographic impact of the COVID-19 outbreak on our operations and financial results. While the proceeds from our recent follow-on offering have provided additional capital, we continue to be mindful of preserving our financial flexibility as we invest in our R&D programs and commercial footprint, while maintaining our incredibly valuable and talented workforce. With that, I would like to open the call for questions.
Operator: [Operator Instructions] And your first question comes from the line of Bob Hopkins with Bank of America.
Bob Hopkins: Great, and good afternoon. Can you hear me okay?
Erica Rogers: Yes, Bob. Hi.
Bob Hopkins: Terrific. Hi, Erica, congrats on the rapid recovery over the course of the quarter. I appreciate the numbers you gave us. Just to try to clarify that there, it looks like June procedures were probably up in the neighborhood of 25% year-over-year and just wanted to kind of confirm that math. And also, you had some comments in the prepared remarks about how July may have been a little bit wobbly relative to the rapid recovery in June, just given the spread of COVID. So is there any quantification of those comments would be helpful? Just kind of want to compare how June related to -- sorry, July related to June and am I in the ballpark on the 25%?
Lucas Buchanan: Yes, Bob, I'll take the quantification side of that and Erica can add any color. But, it's a little bit difficult to do period comparisons just because we've been growing so fast year-over-year and expanding trained physician base and commercial footprint. But June of 2020 was significantly stronger than June of 2019. July of 2020 versus June of 2020 just a month-on-month growth, I think what Erica mentioned is a lot of the recovery happened in June and we typically in non-COVID times see a little bit of seasonality in the front half of the third quarter and it picks up in the back half, you've got 4th of July and things like that, coupled with some of the timing of the resurgence in different parts of the region, July looks similar to June essentially.
Bob Hopkins: Okay. So you're saying like, yes, if we do year-over-year comparisons, it feels like July is relatively similar kind of growth as June. Erica, maybe just like from a qualitative perspective, if you like, you're just kind of articulate your thoughts on the progression of the recovery here over the last two months. Is it just like qualitatively July feels similar to June -- outside of July -- outside of these -- similar to June outside of these flare-ups. I just want to give people sense, because what we have is we have different med tech companies kind of giving different thoughts on July. You had a couple of things, things are definitely improving a little, some are saying things are wobbling, but still in the general direction of June, just want to get kind of your qualitative sense? Thank you.
Erica Rogers: Yes, absolutely, Bob. So I'd say overall we're pleased with everything that we're seeing in terms of recovery here. We had a couple of things to think about in July, as Lucas already mentioned, that's a typical seasonality period for us kind of the early parts of the quarter and so hard to tease out what's happening seasonality wise and what's happening with kind of regional flare-ups. But even given all of that, I'd say were overall pleased with how the business is progressing.
Bob Hopkins: Okay, thank you very much.
Operator: And your next question comes from the line of Robbie Marcus with JP Morgan.
Robbie Marcus: Great, thanks for the question. Erica, I was hoping you could give us a little color of what you're seeing in terms of patient trends going into the clinic? Are docs still seeing patients and identifying new carotid patients at a healthy clip? Was there a focus more on maybe the severe patients, when there is limited large space, which may have helped you out in the quarter. Just any kind of trends you can give us on the patient or the doctor treatment side would be helpful?
Erica Rogers: Absolutely, Robbie. Hi, nice to hear your voice. So, yes, we talked about this kind of phenomenon in the early parts of this pandemic, when elective procedures were sort of shut down across the country and of course symptomatic carotid artery disease was not considered elective by both the American College of Surgeons and CMS and others. And so we saw kind of an interesting flip of the procedural mix and symptomatic and asymptomatic early in this pandemic, and I'm very pleased to say that procedural mix is kind of back to what we would normally expect. And so as a result of that Robbie, it's safe to say that we are treating asymptomatic patients. Asymptomatic patients are being diagnosed. They're coming in for their vascular labs. As you heard from the Dr. Berman story, you know, it's interesting, because he can order a vascular lab, in other words an ultrasound or a CT sort over the phone and in telehealth method. The patient can go and have just that exam and that's their only exposure into healthcare system, which is pretty safe. And then do all of the follow-up with that patient discussing the results of the exam over telehealth. So these are the kinds of things that we are continuing to see. Obviously, the pockets of flare-ups around the country not only impact what might be happening at the hospital level, but certainly do impact patient behavior. And so you have kind of ebbs and flows of patients willing to get out of the -- go out of their homes, I would say. But overall, we're pleased with the new procedures being posted on the board.
Robbie Marcus: Great. And you gave us a great teaser with the -- we're getting more confidence in the ability to talk to you later this year about the pathways forward in standard risk. What are some of the things that you would have to contemplate? I imagine there is a trial is one pathway, hopefully you can avoid a big long expensive trial. What are some of, may be, the different things that you have to consider that we should consider expect as options going forward. And just any other commentary, you could give us on the pipeline. TCAR as a delivery system has a lot of potential to move into other indications beyond carotid artery disease, any updates on where you stand on some of that progress? Thanks.
Erica Rogers: Sure. So on the kind of standard risk question, I think the thing that please us the most here was that FDA were still very much willing to engage. You hear a lot about what's happening at the federal government just in general in terms of dealing with this pandemic. These people have a lot of things on their plate and I think there were some question by a lot of folks is to -- is the FDA going to kind of act business as usual? Or will there be fits and starts there? So we are grateful and pleased with the interactions we've had with the FDA over the period. Those interactions are obviously centered around what is the specific regulatory requirement, which as we've said before Robbie, is only one piece of the puzzle. There is regulatory, there's coverage and there's adoption and all three of those things, we're trying to solve for not just the regulatory piece. But on the regulatory piece, you're right, it's a conversation around what do the regulations require and how are we going to respond to those requirements with respect to what we ultimately submit to the FDA. And unfortunately, we're not in a position to give more color other than to say, we're pleased with the progress in the conversations that we've been having. And then, as it relates to pipeline; I see you snuck in a third question there, Robbie, but we'll give you this one. As it relates to pipeline, yes, we also continue to make progress and that's due to the just the incredible dedication and resiliency of our Silk Road team here. Folks just really creative and figuring out how to move the ball forward on product development and R&D. And so we're pleased with the progress that we've made in the quarter and I think we'll be in a position to talk more specifics later in the year.
Operator: And your next question comes from the line of Rick Wise with Stifel.
Rick Wise: Good afternoon to you, both. A couple of things, Erica. The comment that you expect to certify this year, a greater number of docs, because of the tele training, telehealth initiatives and I think you guys were going to train more docs going forward. I just wanted to make sure I understood the implications, just what might that mean? Will you catch up with what you thought early in the year, like the number of docs you're expected to train this year or they end up being the same because of this accelerated technology-driven approach?
Erica Rogers: Yes. Sure, Rick. Hi, nice to hear you. So, what was meant by the comments was obviously the early parts of the second quarter were pretty severely impacted just because people weren't able to get on planes and travel and still really aren't willing to or able to. And so luckily, we had a few opportunities in the prior year to kind of practice, some remote and on the road type training formats and so we were able to fairly quickly pivot, but nonetheless the training numbers were fairly impacted in the second quarter. That said we've quickly pivoted. And what's interesting is that the physician demand has not waned for training, and that's obviously in part due to TCAR itself, the minimally invasive advantages of TCAR particularly in this time. And the fact that some physicians at least early on in this pandemic had extra time on their hands. So, we have figured out ways to pivot and to train physicians remotely particularly the didactic portion and then handling the hands on in much smaller formats or one on one, as I said in the prepared remarks. So I think we're not obviously reinstating guidance in terms of how many physicians we will train, but safe to say that Q3 is off to a good start.
Rick Wise: Okay. And both you and Lucas commented on patients and backlog and numbers. And I just want to make sure I understood what you're saying, have you worked through now because of the fantastic performance in May and June. Have you worked through whatever backlog was there and do we imagine that the 5% to 10% of the patients that you mentioned lost to TCAR, is that temporary loss, permanent loss? How do we think about these numbers and the implications for the second half.
Lucas Buchanan: Sure, Rick. Why don't I take that one. Just to reiterate a couple things. A big portion of our business is symptomatic patients and their squarely in the urgent category. So they've continued pre-COVID and during COVID to get treated, because it's obviously an urgent situation. I think really the intent of our comments around the patients that are deferred, which are primarily the asymptomatic patients, although plenty of them are not deferred. You can only defer that for so long and so, just given the timing of how this is all played out, a lot of the recapture of those deferred procedures happened intra-quarter. Obviously, we had some in late March that were actually rescheduled and performed in Q2, and there is some in June that got pushed out into Q3, but that's a bit of a wash. So, I think our business is back to the new normal, so to say, not the old normal and the wildcard continues to be -- can the patients get back into the diagnosis and treatment pipeline, which we talked about through telehealth and other efforts, are certainly parts of the country that are constrained by the virus and others that are doing okay. And if the 5% to 10%, what's interesting about that figure is our field team and our commercial ops team continues to have really good visibility and really good partnership with these TCAR centers and physicians to track these patients down, and so that number is not a guess, it's got real analytics behind it, and some of them are canceled procedures that just haven't been rescheduled, because they're having a tough time tracking down the patients and others that are due to be rescheduled, but it's been quite some time. So, the probability of being rescheduled and bringing those patient back, it's harder to predict. And so I think it's probably a little bit of both, some of them may be a permanent loss and some of them may actually come back in future quarters or next year, if they haven't had a stroke in the meantime.
Operator: And your next question comes from the line of Joanne Wuensch with Citi.
Matt Henriksson: Yes. Hi, this is Matt Henriksson on for Joanne. My first questions is, just on the overall market dynamics. Did you guys noticed that CEA had a similar recovery in the second quarter? Or was this something of an inflection point where TCAR was starting to get more penetration within the doctors?
Erica Rogers: Hi, Matt. Yes, let me take some of that kind of qualitatively, which is first and foremost to start with any sort of data gathering exercise that we can undertake on CEA is sort of has a lag effect. We don't get real-time data in the quarter around those kinds of procedures, because we typically gather those data from diagnosis codes and procedural codes and things like that from third-party providers. So we don't have honestly real-time information on CEA. I think what you're asking about has the procedural mix changed? We certainly have anecdotal evidence of physicians, who have moved TCAR up in their adoption curve and in their priority list, due to the efficiencies that TCAR offers, particularly in this pandemic time. I think secondly, the other thing that, we are quite pleased about is that, the physician sort of regardless of where they might have been on their adoption curve, there is no evidence that they're reverting back to kind of old behaviors. And so what we have seen, thanks to the just tremendous effort of our commercial sales organization is physicians moving ahead in their adoption even in this time.
Matt Henriksson: That's helpful. And then my follow-up question is, you talked about the promotion of Andy David to Chief Commercial Officer. So if he is listening, congrats on that. I noticed though that, you mentioned that he is expanding his focus to global execution. Are you able to provide any commentary on how you're looking at the international markets for the next six months, 12 months, two years even?
Erica Rogers: Yes, Matt, we've always had international expansion on the list of the long-term growth drivers, you know, sort of going all the way back to IPO and how we think about this business. We haven't given any specific guidance on timing of international, other than to say that we've been working through some regulatory hurdles in both Japan and China, and yes, we're thrilled that Andy is taking on this new level of responsibility he certainly earned it.
Matt Henriksson: Great, thanks for the questions.
Erica Rogers: You're welcome.
Operator: And your next question comes from the line of Danielle Antalffy from SVB Leerink.
Danielle Antalffy: Good afternoon, Erica and Lucas. Thanks so much for taking the question. This might be a silly question, I'm new to covering the name, but this is not a COVID question, this is a question more around I look at the TCAR versus CEA and I ask myself, why would any patient be getting a CEA at this point in time. So I guess my question for you is, what's it going to take to really sort of open the faucet here? Do you think getting a standard risk indication, which I appreciate the commentary and color on potentially hearing something later this year as to the regulatory pathway there, but is that what is going to open this up and kind of flip all interventions, 170 or 1,000 or 200,000 or whatever, it is CEA to TCAR? Or is there something else that can do it either before that or is there something more needed after?
Erica Rogers: Sure, Danielle. And good to have you on the call. So it's really multi-factorial. It starts with physician behavior and what does it take for physicians to kind of change what they've been doing, in some cases for 15 or 20 years. And the way that we've talked about this in the past is, if you have a mid-career vascular surgeon, maybe that mid-career surgeon has done 500 or more carotid endarterectomies, and so that's a very predictable procedure in their hands, it's one in which they understand the failure mode, that's an important piece for surgeons and so it's really overcoming that inertia. And the way we do that is methodically walking these physicians up their adoption curve, starting with a beachhead and that beachhead for every physician might be different, but it's typically anatomic or severe other co-morbidities that put that patient at risk. Things are -- just procedures that the physician just simply doesn't want to do is CEA, so we start somewhere. And then we slowly and carefully build the experience of that physician. We typically see an inflection point, somewhere around the 10th or 15th case and if that's a methodical progression, where that vascular surgeon is may be doing one to two cases per month of TCAR, you can imagine that, that kind of inflection point can take several months if not a full-year. And so that's what we go out and do all day, every day. In terms of the light switch, what is it going to take? It's really a couple of things, one is data, the strength of the national data certainly helps. The data that were presented last year at the Vascular Annual Meeting was a watershed moment in terms of clinical evidence for TCAR against CEA in that propensity matched comparison that we talk a lot about. So it's things like that and getting those data published are also helpful in peer-reviewed journals. And ultimately the standard surgical risk labeled indication in coverage really unlocked a much smaller piece of the pie for us, it's really only about that final one-third of the already treated patient population, Danielle. But I think it's also an interesting psychological point in which physicians no longer have to consider a risk factor when they're figuring out which procedure to use for the patient. So all of that combined are the things that we are focused on.
Danielle Antalffy: All right. Got it. Thank you so much.
Erica Rogers: Thank you, Danielle.
Lucas Buchanan: Operator, are there any more questions?
Operator: And there are no further questions on the line at this time.
Erica Rogers: Okay. With that I think we can end this call and thank you all very much for your attention here today to Silk Road Medical.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.